Operator: Good day, and welcome to the Western Midstream Partners fourth quarter 2019 earnings conference call. All participants will be in listen-only mode. [Operator Instructions] Please note, today's event is being recorded. I'd now like to turn the conference over to Abby Dempsey, Investor Relations. Please go ahead. 
Abby Dempsey: Thank you. I'm glad you could join us today for Western Midstream's fourth quarter 2019 conference call. I'd like to remind you that today's call, the accompanying slide deck and last night's earnings release contain important disclosures regarding forward-looking statements and non-GAAP reconciliations. Please reference Western Midstream's Form 10-K and our other public filings for a description of risk factors that could cause actual results to differ materially from what we discussed today. Those materials are all posted on our website at www.westernmidstream.com.  Additionally, I am pleased to inform you that the Western Gas Partners and Western Midstream Partners, K-1s will be available on our website in mid-March. Hard copies will be mailed out several days later. With me today are Michael Ure, our Chief Executive Officer; Mike Pearl, our Chief Financial Officer; and Craig Collins, our Chief Operating Officer.  I would now like to turn the call over to Michael Ure. 
Michael Ure: Thank you, Abby, and good afternoon, everyone. 2019 was a historic year for WES. The Partnership completed the Simplification Transaction and related asset acquisitions from Anadarko Petroleum, who was acquired by Occidental in August. We closed the year with the execution of several agreements with Occidental that established WES as a standalone midstream company. We generated over $1.7 billion of adjusted EBITDA, distributed over $1.1 billion of cash to unitholders, and efficiently executed our capital program, coming in approximately $100 million below the 2019 guidance midpoint.  Comparing full year 2018 to full year 2019, we saw a 9% increase in natural gas throughput and a 57% increase in liquids throughput. We high-graded and expanded our asset portfolio in February 2019 with the acquisition of Delaware and DJ Basin assets that complemented our existing asset portfolio. We also placed the second Mentone train and first Latham train into service and acquired a 30% interest in Red Bluff Express, which transports residue gas from the Delaware Basin to the WAHA hub.  I'm extremely proud of the performance that we delivered in 2019 considering the significant transformation that has taken place during the year. Our February 2019 acquisition and Simplification Transactions provided additional scale to our backbone infrastructure in our key basins of operation, and created capital structure alignment with the elimination of general partner incentive distribution rights. The value of these transactions was further enhanced by our entry into new service, operating, and governance agreement with Occidental, which positioned WES as a standalone midstream operation and provided our unaffiliated unitholders with improved governance rights.  These unitholder-friendly actions were accomplished with steadfast support from Occidental, as our largest unitholder end customer, and recognizing the pressure-facing midstream MLPs. Our primary objective of creating long-term value for our unitholders hasn't changed since our IPO. And as we enter 2020, our unitholders remain a top priority, along with sustaining our investment-grade credit profile. Our forecasted 30% to 35% decline in capital expenditures is accompanied by a 13% increase to adjusted EBITDA, which demonstrates our commitment to capital-efficient organic growth. All of our stakeholders are well positioned to benefit from WES' ability to operate as a standalone investment-grade midstream enterprise.  With that, I'll turn the call over to Mike, who will discuss our 2019 financial results. 
Mike Pearl: Thanks, Michael. Yesterday afternoon we reported an outperforming quarter with adjusted EBITDA of $447 million, distributable cash flow of $345 million and a coverage ratio of 1.23 times. The 9% sequential quarter increase in adjusted EBITDA resulted from increased throughput across all products in the Delaware and DJ Basin. For full year 2019. We generated adjusted EBITDA of $1.72 billion, distributable cash flow of $1.33 billion and an annual coverage of 1.18 times.  Our adjusted EBITDA increased 17% from full year 2018 and our full year 2019 coverage ratio was above guidance. Total 2019 capital expenditures were $1.25 billion, which was approximately $100 million below our 2019 guidance midpoint of $1.35 billion. Optimized planning and continued focus on capital discipline during the second half of 2019 allowed us to deliver total year capital expenditures well below our initial expectations. In January, we priced a $3.5 billion four-tranche senior notes offering. The issuance was 6.2 times oversubscribed on an upsized and tightly priced offering with more than $21 billion of demand.  This unequivocally successful offering, which included an investor requested 30-year debt tranche, demonstrates the market's long-term and fundamental support for WES, reduces WES's average cost of long-term debt and extends the average maturity of the same.  I now will turn the call over to Craig to discuss fourth quarter operations. 
Craig Collins : Thanks, Mike. Operationally gas throughput increased by approximately 120 million cubic feet per day quarter-on-quarter. This increase was primarily driven by higher throughput from our DJ Basin complex as a result of third quarter downstream constraints that did not impact fourth quarter operations. Excluding the effects of this downstream constraint from third quarter results, our DJ Basin complex throughput increased by approximately 60 million cubic feet per day quarter-on-quarter.  Full year 2019 total natural gas throughput averaged 4.2 billion cubic feet per day, representing a 9% increase from the full year 2018. We added approximately 450 million cubic feet per day of compression capacity for the year and increased our processing capacity by 400 million cubic feet per day.  Turning to liquids. Our quarter-on-quarter throughput increased by approximately 187,000 barrels per day. This growth was driven by a 5% throughput increase from our DBM water assets, where we brought two additional saltwater disposal facilities online and saw an aggregate 8% throughput increase from our Delaware and DJ Basin crude oil gathering and treating assets. Full year 2019 total liquids throughput averaged 1.2 million barrels per day, representing a 57% increase from full year 2018.  For 2019, we added over 230,000 barrels a day of produced water capacity from the addition of eight saltwater disposal facilities and continued strong liquids throughput from many of our equity investments. As expected, our liquids gross margin declined to $1.69 per barrel for the quarter and $1.77 per barrel for 2019. As a reminder, as our water business continues to grow, we expect our overall liquids margin to track lower.  However, compared to crude, the water business generates higher returns notwithstanding the associated lower per barrel margins. Our quarter-over-quarter gas gross margin increased to $1.8 per Mcf and increased $0.06 per Mcf on a year-over-year basis. In the DJ Basin, our first Latham gas processing train was placed into service during the fourth quarter of 2019. The second Latham train came online earlier this month.  Additionally, Loving ROTF Train III was completed in the fourth quarter of 2019 and started up in January. Loving ROTF Train IV is expected to be completed in the fourth quarter of 2020. In the first half of 2020, we expect the Front Range and Texas Express Pipeline expansions to be placed into service. We also will experience a full year of contributions from Cactus II.  I will now turn the call back over to Michael for 2020 guidance discussion and concluding remarks. 
Michael Ure : Thanks, Craig. Our previously communicated 2020 outlook of adjusted EBITDA between $1.875 billion and $1.975 billion and capital expenditures between $875 million and $950 million remains unchanged. We expect meaningful throughput growth from the DJ and Delaware basins in 2020. Natural gas throughput is expected to grow approximately 7% to 4.5 billion cubic feet per day, underpinned by OXY's Delaware Basin development plan and the mid-2020 commencement of DCP's delivery into our Latham plant in the DJ Basin.  Oil throughput is expected to grow approximately 18% to more than 765,000 barrels a day, primarily driven by new OXY development wells in the Delaware Basin and full year crude oil shipments on the Cactus II pipeline, where we own a 15% equity interest. Water throughput is expected to increase by more than 20% to approximately 678,000 barrels a day, largely attributable to new OXY and third-party connections. Aggregate increased throughput volumes across all products is expected to drive adjusted EBITDA growth of approximately 13% across the WES portfolio.  We strongly believe that the WES-dedicated workforce enhances employee focus, which in turn positions and empowers employees to deliver improved customer service, establishes heightened accountability and supports the realization of operational efficiencies that previously were more difficult to achieve with a dual-purpose workforce that split time tending to shared midstream and upstream responsibilities. We expect increased expenses associated with operating as a standalone business and our 2020 guidance fully reflects the impact of these additional costs.  We also expect that anticipated cost savings from realized operational and capital efficiencies will meaningfully exceed the incremental expense attributable to operating as a standalone midstream enterprise. Total capital expenditures plus equity investment contributions are expected to decrease by approximately 30% from 2019 aggregate capital spending of $1.25 billion. We expect to invest approximately 64% of our total capital spend in the Delaware Basin, 26% in the DJ Basin and the remaining 10% on equity investments and other assets within WES' portfolio.  Total maintenance capital is expected to be between $125 million and $135 million, in line with previous years as approximately 70% of adjusted EBITDA. The 2020 Delaware Basin capital program is focused on continued build-out of the oil, gas and water infrastructure, predominantly focused on gathering facility capacity expansions, including anticipated expansion work at eight operating CTFs, and new facilities on the gas system.  The start up of a third train and the completion of a fourth train at the North Loving ROTF providing an additional 60,000 barrels a day of additional throughput capacity. And the addition of approximately 180,000 barrels a day of additional saltwater disposal capacity in the Delaware Basin. The capital program in the DJ Basin focuses on infill expansion of compression capacity, gathering pipelines and the completion of a second 200 million cubic feet per day processing train at the Latham plant.  For the past 28 quarters, WES has increased its distribution. We intend to continue quarterly distribution growth. However, at a significantly more modest rate of approximately 1% year-over-year. This remains consistent with our goals of lowering leverage and increasing distribution coverage to at least 1.25 times.  Before I conclude my prepared remarks, I would like to thank all of the WES-dedicated employees and contractors for their contributions, dedication and continued focus on safety. We look forward to 2020 and delivering the results that our stakeholders expect.  With that, I would like to open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Today's first question comes from Colton Bean, Tudor, Pickering & Holt. Please go ahead. 
Colton Bean: Good afternoon. So just listening to the OXY call earlier, there is some references potentially letting production rollover, if we were to remain at current crude prices. So, one, I guess, could you just confirm if the earnings guidance is predicated on the existing upstream guide? And then two, kind of how you're thinking about the potential to mitigate any activity cuts? 
Michael Ure: Thanks, Colton. Yes. The current guidance that has been put out is reflective of the budget in the guidance that is reflected in OXY's current expectations. I would note that while they do talk about a decline in production, I would just reference Vicki's commentary as it relates to the capital cuts and where those would likely come. First in non-productive capital and then secondarily in productive capital. We as a whole feel very good about the position that WES has and the assets that underlie the position.  We think its underlying the best basins in North America. And so, definitely expect that even in light of the current commodity prices as temporary as it has been in nature that there will be continued production going through it. When you look at our capital budget, the majority of that is with regards to servicing immediate production that would go through our system. And so, in the event that there is a reduction overall in the expectation of that production, then obviously that capital would decline. 
Colton Bean: Understood. And just any order of magnitude sense as to what you could do on the capital front to balance any downside here on the earnings side? 
Michael Ure: Again, it's hard to answer that question in a vacuum, not knowing exactly what the resultant reduction in production or capital would be. 
Colton Bean: Got it. And just a final one, just on the dividend increase, I mean, understanding that it's 1% year-over-year, but just wanted to understand a little bit better the mindset in terms of continuing with growth at these levels. 
Michael Ure: So WES is continued, has had a increase in its distribution for 28 straight quarters. We feel very good about that track record in the result that our unitholders have been able to account on over that period. We feel very good about the business as we sit here today. And so, what we are balancing there is a continued effort towards the success of that distribution growth coupled with renewed focus around reducing overall leverage and increasing coverage. 
Operator: And our next question today comes from Jeremy Tonet of JP Morgan. Please go ahead. 
Jeremy Tonet: Hi. Good afternoon. Just want to lead off here with regards to your efforts as transitioning to a standalone midstream company. And just wondering if you could provide a bit more color on where you are in that process. And, I guess, what changes you've seen in the organization as a result of these efforts? 
Michael Ure: Jeremy, it's a great question. So, at the end of 2019, we entered into agreements with OXY that would provide for the leadership team of WES to move over as employees of WES. Prior to that period, there were no actual employees of WES. So that is the top line leadership team that is now currently employed and receiving their paychecks from WES. During 2020 and ideally the early part of 2020, the remainder of the WES-dedicated standalone employees will come over to be employed by WES.  As it sits today, those employees, their affairs, their the hiring and firing decisions are all made by the WES employees. However, at the point in time when they do come over as employees, they will get their paychecks directly from WES. The impact on that frankly, I think you've seen it a little bit in the fourth quarter results as we were able to reduce overall capital and improve operations as it relates to the revisions from an outlook perspective from third quarter to today are an expectation that as a standalone enterprise, we're able to motivate, provide accountability and focus the operations to achieve greater synergies and greater efficiencies overall through the system.  So we believe it's an excellent step in the efficiencies overall of WES. As it relates to third-party customers, it's also an increased awareness and focus to them to indicate that obviously their business is very important to us. Clearly, OXY is still our number one customer, and important to the overall health of WES, but the third-party business profile is able to be enhanced of that employee base is exclusively focused on WES and its success. 
Mike Pearl: And Jeremy, if I could. This is Mike Pearl. One other thing I'd add to that, we've heard loud and clear throughout the years about the mismatch between incentive compensation, not only just for management but for what we call now WES-identified employees and we've made the change, where all WES-dedicated employees and management are now receiving equity compensation in WES that actually tracks midstream targets and we're no longer tied to the targets of the E&P. And so, we feel like that, that fundamental shift in focus will drive efficiencies through our business and have employees focus where they need to be in terms of making WES' operations more efficient. 
Michael Ure: Aligning compensation was accountability and ultimate results of WES, absolutely. 
Jeremy Tonet: That's good to see. Thanks. And maybe just kind of turning to, I guess, how the agencies view these changes with kind of the agreements with OXY overall. It looks like Moody's, I think might have placed you on positive watch recently, any updates you can provide us there?
Mike Pearl: You nailed it. They did put us on positive watch. We just recently visited all three agencies, I'd characterize the discussions as extremely productive as we look at the new standalone WES and talk about our plans into the future. I think all of the agencies are looking for us to lower our leverage, which we are keen to do in my mind that's job one is to get our leverage metrics back to what has been traditionally the sweet spot for WES of 3.5 times to 4 times. As we exited 2019, we're roughly 4.5 times, through organic growth of EBITDA and also debt reduction by the end of the year we expect to be much closer to 4 and then below 4 thereafter. 
Operator: And our next question today comes from Derek Walker of Bank of America. Please go ahead.
Derek Walker: Good afternoon, guys. I appreciate the time and congrats on the quarter. Maybe I could just follow-up on that last question on the leverage front. As far as getting down to 4 by the end of this year and below 4 in '21, is it mostly just from an, actually doing it through and EBITDA growth, or are you looking to do potentially asset sales to help accelerate that process? And if so, sort of how you're looking at the non-core asset side of things? 
Mike Pearl: Thanks for the questions. It's going to be both. And I know your attention's immediately going to turn to what is the non-core asset and that will depend on a few things but, I guess, the threshold is, are you in DJ or Delaware? And if the answer is yes, then slightly core. Aside from that, determining what's non-core will also depend on the price discovery associated with whatever we might be looking at divesting it. But the goal is to look at the portfolio and rationalize to the extent it makes sense, taking into account what we can get in terms of proceeds and then dedicating those proceeds to restoring the balance sheet. 
Derek Walker: Got it. And then maybe just a follow-up on Jeremy's question on the standalone piece. Are there any updated thoughts on C-corp conversion at this point? Or are you guys still kind of working through some of the latest agreements here in shifting employees over? 
Mike Pearl: We actually looked at that back in February when we did the Simplification Transaction and sort of, Shell did that to see what was WES look like and how it performed coming out of simplification and the acquisition from Anadarko. It's still something that we're definitely analyzing. One thing about going to a C-corp is once you do it, you can't go back. And so, we need a firm understanding of what we look like from a taxation perspective because once you become a C-corp you become taxable, there went 21% of your distributable cash flow. So it's something we're going to be very thoughtful and mindful of. But we are definitely analyzing it.
Operator: And our next question today comes from Spiro Dounis of Credit Suisse. Please go ahead.
Spiro Dounis: Good afternoon, guys. Just want to go back to the third-party business as well. Just trying to figure out how we should think about the, maybe the CapEx impact of those efforts. I guess, some of your peers right now retrenching a bit, maybe moving towards maintenance CapEx mode. And so, with your efforts sort of increase that third-party revenue line, you feel like you can do both capture that third-party business and then keep CapEx on the lighter side? 
Craig Collins: Spiro, this is Craig. And I'd like to try and answer that for you. I mean, when we look at the extent of infrastructure footprints that we have in the Delaware and the DJ Basins, specifically. And with the aerial extent of our systems, we are very close to several producers in and around our existing infrastructure. And so, we're actually seeing very good progress and discussions that we're having with those producers in terms of getting incremental business brought online. And we think we can do that with pretty minimal capital going forward.  And so, I think that really provides us a competitive advantage as we continue to engage with these producers. And in this environment, I think the competition also has capital constraints as well. And so, we are looking forward to continuing some of the recent successes that we've had in this regard. 
Spiro Dounis: Understood. And then, Mike, just trying to reconcile some of your comments around the, due to the successful refinancing and obviously the positive momentum from the ratings agencies. But at the same time, it just came up, you have a 20% yield on the equity and just trying to put those two together and, I guess, to the extent that you believe that there is a large dislocation here in the equity. Do buybacks have any space in your capital allocation framework, even if you were to sort of buy back from OXY on a go-forward basis? 
Mike Pearl: That's a very good question. I don't, the units are yielding as if there is some problem with being able to pay the distribution, which we firmly do not believe to be the case. At the same time, I don't view this decision point any different than exercising capital discipline with respect to, on the upstream side, if prices go up, you dramatically change what you're planning to do. I don't think that screams capital discipline, and the same thought process is going on here. I would tell you that, in order for WES to be nimble in terms of being opportunistic, whether it's on the acquisition side or anything else we might be looking at, the balance sheet needs to be right-sized to be able to be nimble, right? 
Spiro Dounis: Totally agree. 
Mike Pearl: Again, I reiterate that the balance sheet metrics are, first and foremost, we are committed to being investment-grade, that's why we had such a successful bond offering, coming out of the marketing-related to that offering and it's something that we're absolutely dedicated to being an investment-grade Company. 
Operator: And our next question comes from Shneur Gershuni of UBS. Please go ahead.
Shneur Gershuni: Hi. Good afternoon, everyone. Maybe I can start off with sort of the combination of the questions that have been asked already. When I think about Western Gas and I think about the broad midstream sector in general. I mean, you've been growing very quickly over the years and so forth. And you're kind of, at this interesting point where you're bringing all these employees on from OXY on to WES and so forth. How much effort has been made, that has been done to make sure that you're bringing on the right number of employees? Or can we use this as an opportunity to reduce costs in a pretty significant manner? Do you need a 1,100 [indiscernible] really need 900? Can you walk us through how you're thinking about that process to ensure that you're right-sizing the cost structure for the environment that we're actually in? 
Michael Ure: Sure. It's Michael. It's a great question. We actually went through a very extensive process coming up to the point at the end of the year in order to right-size the overall business, choose the right employees overall for the Company on a go-forward basis in light of the OXY Anadarko acquisition. There was a significant amount of work that was done to select the right employees that fit best on the OXY side, that fit best on the WES side. And in that process, find the optimal structure overall for WES. So, leading up to the deconsolidation at the end of, or at the entering into those agreements with OXY at the end of the year, there was months and months of work in order to get the business in the right place going forward for where we sit.
Shneur Gershuni: Okay. And then tying together, I think your comment, I think maybe it was Spiro's question about balance sheet comes first. Then I think you've got asked questions about the distribution growth rate earlier and that you're proud of the history of the distribution increases. But when I sort of look at where you're trading today and even not just this last week, but the week before, the week before that, it was clear that, or it seems that the market is not valuing the distribution at this point right now. Is that track record more of a nice to have versus why not accelerate down your leverage further more buy back units? Is that something that you've discussed with the Board? Or does the desire for cash flow from some of your constituents sort of overwhelm what could be a great buyback volatility? 
Mike Pearl: I understand. And, again, the distribution policy is something obviously that we sound and socialize with the Board. I think the recent dislocation we've seen in the broader market and in our own security, it will have us thinking about exactly what you're alluding to, where I can just talked about unit buyback. But at the same time, we need to get the balance sheet right. Is it nice to have in terms of 1% year-over-year distribution? I think that's exactly how I would characterize it. But again, I don't, I also don't believe that that distribution increase of 1% is meaningful in terms of what we have from a balance sheet leverage perspective, as well as from any perspective or theoretical unit buyback.  So it is a nice to have. I would actually agree with that. But then again, if we come out and we say, okay, well, 0% distribution increase, then the immediate question comes, well, are you looking at a distribution cut, right? And I don't think we're prepared to say anything close to that. And so, we're comfortable with the 1% year-over-year. 
Shneur Gershuni: Okay. A final question, just when I think about your production forecast versus OXY's forecast, should I also be thinking about the JV and that could create some differences to how I think about what OXY saying about what it’s expecting versus what you're expecting because you get all the volume from the JV with Shell versus, and that can create some sort of the differences? I'm trying to understand what OXY saying versus your guidance? Is that a fair way to look at it?
Michael Ure: Shneur, sorry, sorry to, I thought you were done there. My apologies. The Shell that, Anadarko had with Shell has actually expired. It's no longer in place. And so, when you do think about volumetric growth as it relates to WES' system, you do need to take into consideration that OXY's guidance are on a corporate level as opposed to the specific asset level, where WES is. And then, yes, you do need to think about it in terms of working interest percentages versus gross volumes that would be flowing through our system. Does that answer your question?
Operator: And ladies and gentlemen, this concludes the question-and-answer session. I'd like to turn the conference back over to Michael Ure for any closing remarks. 
Michael Ure: Thank you all for your participation on the call. I want to really thank the WES employees on delivering an excellent quarter in the fourth quarter. And we, as a whole, are incredibly excited about the future of WES as a standalone enterprise. Thank you, everyone, for participation and everyone, please be safe. 
Operator: Thank you, sir. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines and have a wonderful day.